LSI Industries, Inc. (LYTS):
Executives:  Bob Ready – Chairman, President & CEO Ron Stowell – VP, CFO & Treasurer Scott Ready – President of LSI Lighting Solutions Plus Shawn Toney [ph] – SVP of Commercial and Industrial Lighting Group David McCauley – President of LSI Graphic Solutions Plus
Analysts: Glenn Wortman – Sidoti & Company Jim Ricchiuti – Needham & Company Rick D'Auteuil – Columbia Management Jim Stone – PSK Advisors
Operator: Good afternoon everyone and welcome to the third quarter earnings conference call. Today’s host will be Bob Ready, Chairman and Chief Executive Officer for LSI Industries. During the discussion all participant lines will be muted. (Operator instructions) Now without further delay, I’ll turn this call over to Mr. Ready.
Bob Ready: Thank you, Matt. Good afternoon everybody. Before I start off with a few comments, with me today is David McCauley, President of the Graphics Group; Scott Ready, President of the Lighting Group; Ron Stowell, our Chief Financial Officer. And I’ve invited Shawn Toney [ph] who is our Senior Vice President of our Commercial and Industrial Lighting Group. Shawn came to us just nine months ago. And I thought it would be important that Shawn sit in this meeting. In case there were some specific questions regarding the C&I part of our business and so – and also with me is Steve Brucker, our CIO. So, with those introductions I think Ron wants to make his usual statement that he makes every time that we are on these calls. Ron?
Ron Stowell: Which is I would like to refer everybody to our Safe Harbor statement that have appeared on our Form 10-Q and 10-K and indicate that to the extent that we may be talking about some trends or items in the future but we will not have material non-public information to disclose today.
Bob Ready: Thank you, Ron. You should have that pretty well done in fact now. I want to start off by kind of giving you a thumbnail sketch of the quarter. Obviously it was a difficult quarter as our third quarter normally is even in the best of times. But this was even a little bit more challenging for us. We had some very unusual weather that unfortunately shut down a number of days throughout the LSI operations throughout all of them, Kansas City, Rhode Island, North Canton, Cincinnati, even Dallas. With that said though, obviously it was one of our strongest quarters for sure. But I want to be sure that people understand that during this very difficult economic time we have been working aggressively to kind of change the direction of our Company. And I say that in a way that basically all the development, new product development, the new marketing objectives, the international program, that we set a lot of seeds in place. I think things now are looking a little bit brighter as we move forward. I am sure there are going to be a number of questions relating to the major rollout program for 7-Eleven. I know that during the last six or eight months specifically in the calendar ’09 as you all know we were very much involved with a very strong petroleum rollout program. The highlight of that for me personally happened yesterday morning at 11’O Clock. This is – at that specific hour the Vice President of 7-Eleven had a conference call of which we were invited and it was a recognition of job well done by LSI Industries in taking on such an aggressive program and the success of that program. And I am sure Scott will answer some questions in regard to that, regarding that. But the success of that program – as you remember in prior calls, the interest was what’s going to happen beyond that. And I am very proud to say that because of the success of that program we do now have an order to roll out or continue to roll out a number north of 3000 sites, not specifically understanding how many. There is obviously a little bit of a change based on franchisee contracts, but it’s going to be a little bit north of 3000. They are the non-petroleum sites. It is a combination of graphics and lighting. The revenue per site obviously is a little bit less than the petroleum at this point because there aren’t any canopies or canopy fixtures. But the important note is the success of the program and as 7-Eleven acknowledged on this conference call to a number of their own folks that we were invited, as I said, to participate is that their energy savings has been extremely important and very successful, which obviously generated the continuation of their behalf to move forward on the existing sites. We will be cranking that program basically up next month as we are preparing now and getting our production process in place to start the program. We will be involved with not only producing the product but also installing the product. So, at this particular juncture in the economy for us it’s extremely important and we are very pleased to have it. Our international program is up and running with Fred now officially leaving. He is over in the Middle East right now and I am very pleased to say that with the initial start we have our first major order out of the Middle East for a rather large parking garage concept with approximately the first order covering about 1700 fixtures and that’s probably one of three phases. So, it isn’t the number as much it is the importance of starting to get our program in place for people to recognize our capabilities. The direction in Europe is still ongoing with our – in our last week or so of getting the completion of the KEMA testing process. As you probably remember just three months at this particular time we were talking about the KEMA certification. There are three parts to that. We’ve now been notified that the first two are in the paperwork process. The third part is about a week and a half away from final certification. The frustration is that the folks over in the Netherlands who are part of the KEMA Group they are not quite as anxious as we are to get this thing going. We have been competing with vacation time and all kinds of different reasons, but through this very arduous direction we are now in our final stages. And obviously once that certification is finalized we’ll have a major marketing push, which we’ve been working on for months to get all of our docs [ph] set to kick off this program. And we’ll certainly let you know through a press release once that final certification has come about. Fred is over setting up the final stages of his office and his employee direction with our main focus working I believe Fred out of France as his corporate center with an office in the Middle East. And obviously he will still participate strongly with our ongoing program as it relates to Saco. That pretty well covers the international market. And what I am going to do is start off this morning or this afternoon and turn the meeting over to Scott and talk a little bit about the Lighting side and then we’ll finish up with David and then open it up with Q&A. Scott?
Scott Ready: Thanks. We’ve got a pretty exciting quarter looking forward to the April, May, June timeframe. We are certainly glad to get out of the winter doldrums. As you are familiar a significant part of the product mix of this company has always been outdoor products. The third quarter was especially challenging this year with the weather. But we spent a lot of time in the last six months really being – getting ready for the final release of a new technology platform that we are calling Crossover Generation 3, incorporating SmartTech technology, which is – which features some technology opportunities that relate to energy control, lighting control, and the whole aspect of promoting the greatest performance out of LED products with the lowest energy consumption. And that is – this is a platform that will be introduced formally in the petroleum market in May with followup introductions in related products through the commercial/industrial markets and the rest of our niche market opportunities. We’ve already begun to see demand for the product. We’ve been certainly talking to some of our close customers about the technology advantages that this platform will provide. It really does enhance and take to a whole new level the Crossover LED platform. We are very excited about that. The prototype work that we’ve done in the last couple of weeks and frankly the orders that are currently in house for this technology are giving us a great deal of confidence on this particular platform. I used the word confidence and I will make a reference right now to where we feel the general confidence level is in the marketplace. We really do, as you know, serve a number of different markets and those markets do all have different attitudes about where our economy is and where their immediate prospects are. I would suggest that we are seeing more upticks than we have in the last six months. It’s very difficult at this point to determine how sustained they will be. We are encouraged by some of this activity. We are encouraged by some of the confidence that the market – that we’ve enjoyed for so long, shares in the products that we are bringing to market, but we do remain cautious about the overall economic activity level. And we see frankly opportunities in many areas, but again caution overall in terms of where the sustainability of that positive action will come from. I want to go ahead and take a moment now since Dad [ph] referenced to the international KEMA testing and what we’ve done recognizing the market situation here in the U.S. to expand not only in Europe, but our activity in Canada, our activity in the Asian market. With Fred’s departure we’ve realigned some of the responsibilities out of that operation and we are going to take a new focus on how we can take that operation into a proactive marketing mode, really serving the Canadian market with the kind of showpiece experience that the customers have they kind of accustomed to here in Cincinnati, our headquarters and preparing that same type of experience for a more internationally based customer As we move beyond Canada into the other half of the world, the other hemisphere, I can report that the LED products as well as our traditional product mix continue to gain a lot attention and while challenged with soft economic conditions there as well we still see some very, very favorable growth opportunities and frankly maybe more so there than even here in the United States. I will take a moment now and introduce Shawn and allow Shawn to make a few comments about the general outlook in our Commercial/Industrial base. Obviously that represents still the most significant growth opportunity for this company and we certainly have not ignored our base product lines. I will highlight fluorescent, and certainly the important activity that occurs in our agency base. So with that, Shawn?
Bob Ready: Shawn, tell the folks a little bit about – very quick about your background. I think that’s important. A lot of the folks on the phone – on the conference call haven’t had a chance to meet you. You’ve been with us now nine months now, so you’ve got your feet well planted on ground. Just tell them a little bit about your background and what your observation is for us in the C&I market.
Shawn Toney: Would be happy to. First of all, good afternoon to those on the call and Scott and Bob thank you for the introduction. It’s been nine months and very exciting for me personally to join LSI. It’s a terrific business. We are certainly driving ourselves through what I hope and pray is the tail end of a difficult economy. Personally I had spent the better part of the last 20 years with – and employed by General Electric and then most recently to joining LSI with Cooper Lighting, heading up the U.S. portion of sales. What I am sensing in my nine months of employment with LSI and most recently would be optimism. We have seen indications of projects that have been hold up being released. It certainly is encouraging. We have felt ticks of our quotation activity increasing in double-digit range for the first time in a while. We’ve seen increases in architectural work, in specification work. Specifically, in the C&I market we have chosen to utilize the better part of the last six months to – with our agency sales base really redefine how we go to market together. The market has changed around us. We are developing a uniform growth approach in each market. That certainly includes training. That includes education. How to sell in a retrofit or a reconstruction market versus new construction. We are doing our part not only in the innovative new technology that you’ve seen and heard of on prior calls and that Scott and Bob both alluded to, but also tools whether it’s energy calculator tools, fifth edition buyer’s guide, help on the specification side or something as straightforward as website enhancements to help not only our agent partners but the specifiers they serve make better, more well-informed buying decisions. We have along with that top-graded some of our talent in the field and we have (inaudible) I think that pretty well covers it on the C&I side. Training and education with agents, selection tools, creating or enhancing our presence with the specification side of the business and I think the result has been expansion in backlog and a pickup in quotations activity as of late.
Bob Ready: You might explain a little about the direction that you’ve brought to LSI and focusing on our sales efforts and raising the bar so to speak out in the field and making the appropriate changes to upgrade our level of sales efforts. I think that’s a real important part of the optimism that you now feel based on what you’ve brought to the company.
Shawn Toney: Sure, appreciate that. We go to market in two ways. We are primarily on the C&I side an agency served model. We have approximately 100 sales agencies and a smaller direct sales force that trains, mentors, coaches, manages, and make sure we gain adequate mind share out of our agents. What Bob’s alluding to is we measure how are our folks in the field spending their time. We certainly do our part as an employer to train and educate our direct sellers, but I would say productivity matters now more than ever amongst our direct sales force. So monitoring, directing, where our direct folks spend their time not only with agents but also with specification personnel and developing demand with end users matters now more than ever and I think that’s what Bob’s alluding now.
Bob Ready: Perfect, yes. Thank you, Shawn. David, why don’t you take a couple of minutes and give the folks an overview of the Graphics and then throw it back to me and then we’ll open up for Q&A.
David McCauley: Sure will. Thanks again. Glad to be talking to everyone today. On the Graphics side of the business here we are seeing that same type movement that Shawn and Scott referred to, request for quotation, demand that we have up there for proposal is surely an uptick from where we were 90 days ago. In facts it’s kind of surprising that we have this much in the queue to be looking at and if our percent of closure rate remains the same, that speaks good for potential in the future. There is some real dynamics going on in the – certain segments of the market, the ones that are strongest right now are market segments is grocery and drug and of course we’ve been involved with those for many years now. But even though there is not the acquisitions going on that there were especially in the drug chain that we deal with there sure is a lot of activity to upgrade those stores whether it be a department for photographs or the food portion of their business, those programs now have become more of a necessity. Before they were convenience items and that’s where we got clipped real hard during this economy of not having the orders that we used to get for convenience. It becomes necessity only. Well, necessity only got to the point of almost zero and it was scary. But now because of pent up demand and because some of the fear of the economy has dissipated not that the economy is good – don’t get me wrong – but some of the fear had. People have took the shopping off, put it a little bit behind them and then moved on with trying to make some money in their business here. And we are seeing that like I said in the grocery and drug, the convenient petroleum and the QSR market. Speaking of that QSR market, that’s the one that’s reinventing itself. It used to be that in the QSRs they have a luncheon menu and then a dinner menu. Well, now it’s gone well beyond that. It has the breakfast, a brunch, a lunch, a dinner menu, and then a late night menu. What this does mean to us it means the expansion of what they have to have for in indoor and outdoor menu board offering. And because of the dynamics of the way those are built with the light source changing from T8s T5s all the way now to the LED portion and the whole perfect storm is aligning. There is many a tired and old menu board out there especially with our customer base and we’ve built some prototypes for the customers and have also modified and are getting ready to open a new line of offering in the LED lit boards. Also, our LCD boards, liquid crystal boards that are helping to close this dynamic event of the menu changing that is so large now the need for advertising and marketing rather than just a static sign on those boards along with this new demand for healthy offerings, caloric information, it’s really playing into our hands. So, that being such a huge and large market for us we are very encouraged there. Another thing we are noticing out there with our customer base they, like LSI did, they have cut back on their number of employees. Business is down for them. They scaled back, and they are in no hurry to re-hire or add staff. They are in a hurry to start making some money. But the good news is we are seeing demand for our services that they out source. Normally, they would do themselves. But whether it be project management or install [ph] that type of thing, LSI is getting a lot of requests before and hopefully they never replace this business. They do continue to out source. So, that’s kind of an update of where we’ve been and what we are seeing out there in the near future. Thanks, Bob, I will turn it back over.
Bob Ready: David, as a reminder, the last conference call I had shared with our folks that we had taken a very aggressive approach to evaluate our production process and starting with the Graphics business to evaluate the needs and working with outside suppliers to build the kind of equipment that we need to build product for our customer base and we did make a major investment for both Rhode Island and for Houston of – bring some new equipment. Please, just spend a couple of minutes sharing with the folks about that and where that stands now and what your personal feelings are as a result of that.
David McCauley: Sure. Yes, I did – yes, that’s right, I do wanted to mention some about that. LSI made a capital improvement in the Graphics division of purchases in the $2 million range. This included eight pieces of equipment most of it print or print cut type equipment, some of it metal forming, bending and painting [ph] type equipment. But the battle cry out there is to get the customer a factor better cheaper, you know, get the product to him faster, eliminate any of the inventories that you can. Run in smaller batches, produce it cheaper, and have the quality be better. Well, because of this again, technology moving, whether it be print technology or metal forming technology or coatings whatever the case may be, because of this technology moving, our ability to have the money at this time while the market laid dormant, we are geared up for that pent up demand and like we said earlier we are seeing those quotations and we like the position we are in. We know that our competition during this downturn in business has not gained any strength. In fact, we don’t see (inaudible) in this type of equipment, not because they don’t want it, because they just didn’t have the capital. And we like the position we are in and as you know we are program driven. And even though we might not see a lot of new build business, LSI from a Graphics standpoint loves the remodeling business more than the new builds. That’s where the real program driven opportunities are. And this equipment again fits our game plan going forward.
Bob Ready: And if I can add on that, David, one of the reasons we took that direction was, as you pointed out, a tremendous change in the industry and what the requirements are now by the customer to provide a higher resolution print and to do it quicker as you have pointed out and do it without having to have a high demand of inventory in order to satisfy their needs. We have very sophisticated equipment. With the economy being in the way it has been over the past number of years, but we saw a shift in that. We, because of our strong balance sheet we went out into the market and we defined the equipment that we needed and two things have come about as a result of that. We now have a much higher level of capability than most in the business and certainly doing it in a way where we can drive our cost down and also keep our inventories at the lowest level. But more importantly now to provide our customers both existing and new customers with a product that is much better quality and we believe will be in higher demand as hopefully the economy starts to return to some kind of a normal direction. So I think it’s really important that as we look forward that that investment is behind us. Most of it’s already installed, most of it’s already now in a working process and based on what I have been told I think that will be completely finalized in the next three of four weeks. And then we’ll have all of that in place and hopefully as people are starting to indicate things are starting to show little bit of improvement, if that turns into apps to orders, we are going to be in such better position most of us, most people in this industry, and it’s all because of a strong balance sheet that we are able to do that. So, I think the only other item that I got that’s worth mentioning before I turn it over to Q&A is that I am sure you saw in our press release we did finalize the completion of the sale of Marcole down in Tennessee. I think we discussed that the last time we were together that we were really looking at closing that operation. That was all driven by the fact that the wiring harness industry has more or less turned towards the international market for lower labor cost. With the downturn in the volume because of the economy it did make sense to keep this fine little company as part of the LSI. When the word got out that we were – we made the determination to close it there was a tremendous interest by a couple of businesses out there to look at it. We completed the sale and I can only tell by all the efforts of everybody involved that the loss that we incurred with the sale of the unit was much, much lower than had it been if we had closed it. Ongoing now we have no carrying cost, it’s all behind us. I think those are the main items that we really want to touch on today. There is no question in my mind that the economy is still really rough. There is no question in my mind that the directions that we’ve taken have kept LSI on the right direction and I can tell everybody online that the continuation of the strong focus on the balance sheet is absolute, so the relationships through our vendors and our banks are all in good stead. So, now it is execution with what Shawn had indicated, Scott, and David, and certainly the international market, and with just a little bit of luck now that the weather has improved, hopefully the fourth quarter is going to be a much better quarter. Certainly the 7-Eleven program is going to certainly assist on that. But I want to tell you right upfront the 7-Eleven program is extremely important. But this Company wasn’t built just to handle the rollout programs. We’ve been very successful in the rollout programs, but we are now back to a basic direction to strengthen our traditional and our day to day business with the ability to execute a program such as the 7-Eleven or anything else out there that may become available to us. This is a continuation of the strategic direction and we will maintain that strategic direction. So, with that, Matt, I would like to turn it over to Q&A if you would please.
Operator: (Operator instructions) And our first question will come from Glenn Wortman. Go ahead, Glenn.
Glenn Wortman – Sidoti & Company: Yes, good afternoon everyone.
Bob Ready: Hi, Glenn.
Glenn Wortman – Sidoti & Company: Just, when – David, when you were talking about just some higher quote activity on the Graphics side are we talking about major program, or are you talking about maybe smaller type programs?
David McCauley: Yes, both, Glenn. We have some majors that are in the prototype stage now and then in the smaller range of just day to day items. In both cases it’s more than double than what it was 90 days ago.
Glenn Wortman – Sidoti & Company: Okay, okay, and then on your second quarter press release you guys said – referenced a global oil company in which you were an approved supplier for LED lighting. Can you just update us on where that stands?
Scott Ready: Sure. That’s in reference to what we’ve been doing with Shell. We mentioned, Glenn, the KEMA testing is such an important element of that process to require sort of vacation that was part of the bid process. We’ve been awarded based on their confidence with the product. And based on the prototype work we’ve done with them, we’ve been awarded business already even without that final certification. But there has been no real contribution towards the revenues from that program at this point. We see all of that forward-looking. We are awarded certain elements of the national or the global I should say on the international front. We continue to do business with Shell U.S. in this country and we’ll continue to use new product innovations. Specifically I referenced the SmartTech Generation 3 Crossover as a means of expanding our opportunities with that account.
Bob Ready: You know, Glenn, let me re-emphasize something about that because it’s critical to our international plan is the KEMA testing process, which is very similar in some stages to the U.S. [ph]. But it has taken us a tremendous amount of time to get through the program. It is nothing like the U.S. and our frustrations are that we accomplished all the goals that were set for us but it just – it’s just the reaction by the KEMA folks to get that certification in place. But the important thing to know is that once that’s done, we can sell this product basically anywhere in the world. So, it’s an aggressive testing process and a certification process so that the patience that we’ve had to live with to go through this I think at some point in time is going to be well worth it because that’s all going to be behind us and then we can start moving ahead, moving forward with the marketing plan. It didn’t make any sense to put an aggressive marketing strategy in place when you couldn’t get – couldn’t put out the product with the proper label on it to accomplish the goal of what we are required to do from a testing standpoint.  We were allowed to do prototyping, a lot different than getting aggressive in a sales effort. And it was kind of timed for us to go through this process and with Fred’s involvement to get a program and a marketing strategy and a service capability set in place and it was all designed to fall in place together. Now Fred is gone and Fred is working on that and here we are – and we thought we have this KEMA testing done by January of this and here we are now into April and coming into May and we are still going through the process and it has nothing to do with any failure of the product. The product through the testing process has met every objective that has been set by KEMA. It’s just that they just have a little bit different attitude on getting things done than we do here in the U.S.
Glenn Wortman – Sidoti & Company: A little different pace. And then just a final question new 7-Eleven work. First, would you say that you guys have this non-petroleum opportunity is larger than the work you performed on the petroleum stores and then second, is there also an opportunity on traditional graphics with 7-Eleven?
Bob Ready: Well, there are two parts to that. To answer your first one there is over 3000 stores even though per store it’s less and in essence I am sure it will be as dollars it will be a little bit more on an estimated level. We’ll get more and more of that information as we go through the surveys. The second part to your question is there certainly there is an ongoing interest on behalf of our customer to look beyond this because of the success of the LED, but at the same time I am sure they are evaluating some of their own imagery. As David has pointed out, other customers are doing the same thing. That’s some of the optimism that we are talking about. There is a lot of interest now because this has dragged on from an economy standpoint and these folks overall haven’t been doing much of anything so there is that interest in that concern that they are starting to move forward. I think that we are in the right place at the right time and my personal frustration is I want to see some of these programs start to really roll out.  The 7-Eleven program is very, very important, but from production standpoint we can handle anything that they can throw at us. The real challenge of course is the installation. That’s something that we are doing that nobody else I think as a combined manufacturing process and an installation process could even attempt to do so that the goals that we are setting for ourselves is that while we have this downturn is that we are going to put every effort we can into a program to get this done as quickly as possible for 7-Eleven as well for ourselves because if there is some kind of a return to any kind of an increase in economy we want to be ready to take on anybody else. So, it’s a very big program, obviously, when you are talking 3000 units. And it’s a very aggressive one. We want to get as much done during the good weather. The big challenge and some of that hurt in the third quarter was that we didn’t finish the petroleum sites until just in the last week or so.  I mean the weather really hurt us and when you look at the fact that areas like Florida and Dallas, Texas, and there is snows in Houston, I mean this is unprecedented weather and all of these stuff has been outdoor. Obviously the crews couldn’t go in there and accomplish their goals. I am hoping now with the program it’s a lot more complicated to install canopy lighting than there will be area lighting and security lighting, which is truly part of the lighting portion. And it’s an interest to see that when you look at a revenue stream as compared to the first rollout program about 60% of the revenues generated were for the Lighting group and 40% for the Graphics group. In this rollout it will be about it will about 70% for the Graphics group and 30% for the Lighting group. At the end of the day it’s all for LSI at the bottom line. So, obviously, it’s extremely important to the corporation.
Glenn Wortman – Sidoti & Company: Okay, thank you very much.
Bob Ready: Thanks, Glenn.
Operator: Thank you. And our next question will come from Jim Ricchiuti. Go ahead, Jim.
Jim Ricchiuti – Needham & Company: Thank you. Bob, just following up on that, that change in mix between Lighting and Graphics, does that impact your margins on this business at all.
Bob Ready: Well, not really, because some of that, Jim, is in the installation process, which is going through the Graphics, but there are Graphic items on it. But the reason I brought that up is that it – that’s a nice little bit of a help on the Graphics side because of the revenue recognition. Obviously, we had to be extremely competitive on our cost direction and the success of the program we are hoping that will even be a little bit more profitable for us. We’ve got a lot of trained crews out there that can go into the field and do this quicker, and hopefully quicker. And do it more accurately. There was a learning curve that we went through it because it’s all new technology. Area lighting is going to be a lot easier to install than canopy lighting.  So as the program rolls out, as we are always trying to do and depending on how volume improves in some of the other markets as you well know our production process is so volume oriented and the more volume we can create and push through our plants, the better off we are going to be. So, there is a little bit of hope that the economy will start picking up. We’ll start to see some of our other customers. And there are other customers out there that are taking on a real strong interest because of what’s happened with 7-Eleven. There is a lot of information now flowing through the industry with the energy savings that 7-Eleven is incurring and folks are now saying, hey, you know, there is a giant out there, they took on a tremendous program and now they are talking about the success. So this is going to be a real world and that’s going to help us dramatically as we are talking to more and more customers. They’re a fewer stores but certainly have the same cost, the same involvement with energy and we have the success of doing them. So–
Jim Ricchiuti – Needham & Company: Can you quantify the energy savings at all so far in the project?
Bob Ready: I can but I don’t want – I can't do it – 7-Eleven shared some information with me yesterday, which I didn’t know exactly what it was, but I can tell you this, they are happy as can be.
Scott Ready: And, Jim, I might mention that from a return on investment standpoint it’s falling well within the lines – the parameters we talked about before. So, they are saving enough energy to make the program pay for itself, but I think that’s what important to them.
Jim Ricchiuti – Needham & Company: Okay. And just on the subject of margins, just given your – the implied guidance for earnings for the fourth quarter it would appear that you expect your gross margins to get back close to or may be a little better than where you were in the second quarter. Is that right or will you selling expense and administrative expense just be lower?
Bob Ready: Lower. Go ahead, Ron.
Ron Stowell: Actually certain expense will go up as we incur admissions [ph] as our Lighting sales go up.
Jim Ricchiuti – Needham & Company: Then you might just go up just with the higher volumes.
Ron Stowell: That’s correct; they will go up with higher volumes.
Jim Ricchiuti – Needham & Company: Okay. And just last question for me, you haven’t talked a whole lot about the LED signage market just from the standpoint of other retail customers nor have you said much about just some opportunities in the score board in the schools. Any sense or any update you can provide there?
Bob Ready: Yes, I didn’t – and it wasn’t that I left it out purposely, we were going to touch on that and I will let Scott address that because he has been very close to that. We turned that direction over to Scott to get a lot more involvement into that program as it relates to the score board and we are very pleased with some of the things that are going on. Especially just recently we received an order subsequently a pretty good order for Xavier University here in Cincinnati and Scott why don’t you kind of touch—
Scott Ready: Sure, Jim. A couple of things to note. As you recall it’s specific with the sports side of the business. It’s a very cyclical business and so depending upon what time of the year you are in, where the activity peaks and drops, we’ve know for some time now that where we had hoped there would be a little more activity beyond the sports industry, that has certainly been squashed by the overall economic situation. So, we’ve focused our efforts really on improving our product, generating new designs that will make us more competitive in the remaining market that does exist. There is no doubt about it that right now the picture has changed 180 degrees from where it was four years ago when we got into this business and as a result of the purchase of Saco there was a lot of demand and not a lot of supply. Today, that’s completely flop [ph] the other direction. Not much demand and a lot of supply from the existing suppliers that were in that market prior to LSI. Where we have a great opportunity we still believe is in the ability to design and produce cost-effective value driven products and supply the kind of service levels that we’ve been able to do in our core business for 30 years. We have to have the right product at the right price, we understand that. We are currently developing those solutions. In the mean time we are participating in that cyclical sports business in securing some orders. So, that pretty much characterizes where we are right now.
Jim Ricchiuti – Needham & Company: Okay. From a demand standpoint, Scott, I think it’s still kind of soft particularly as you get into this heavy part of the selling season I guess for the fall.
Scott Ready: Yes, they really are still soft. I mean there is no doubt about it.
Bob Ready: You know and to remind Jim if you remember when Scott brought up that four years ago when we bought Saco and we went through the due diligence, if you remember my comments, I said what really came to my mind when we went through the due diligence is that we invested in Saco for the technology to start building our Lighting products. I had no clue about what they were doing on some of the digital boards. And so we looked at that and we said well they are already doing that, let’s get into that market right away because of the timing it would take to get our Lighting products going.  Well, obviously, things – we were trying to get into the billboard market and obviously we don’t know who the competition is out there and then the sports – our sports market started to show up. But in the mean time as we were building the technology for our Lighting products we’ve shifted a tremendous amount of that effort because our Lighting products are starting to roll off. We haven’t walked away from that market, but as Scott said, we changed our whole direction. We are looking at the school market. We have a product that’s viable. It is a lot more competitive, so we remain very careful how we approach it, being very selective, so it’s an add-on rather than as it was two or three years ago as one of our main focuses because of a timing issue and getting into the lighting side of it.
Jim Ricchiuti – Needham & Company: Okay, thank you very much.
Bob Ready: Thanks, Jim.
Operator: Thank you. (Operator instructions)
Bob Ready: Okay. I am sorry, do we have one more?
Operator: We do. Our next question will come from Rick D'Auteuil. Go ahead, Rick.
Rick D'Auteuil – Columbia Management: Well do you think you are going to get away without getting my questions–?
Bob Ready: Hi, Rick, how are you?
Scott Ready: We were hopeful, Rick, but—
Bob Ready: We were just – oh, no, no – I was looking forward to you. How are you?
Rick D'Auteuil – Columbia Management: Mine is an easy one. So, pricing is highly competitive. Do you expect, when you are looking at these RFPs is it really kind of down and dirty bidding or is there opportunity to make a little bit of money too?
Bob Ready: Well it’s a buyer’s market out there, we know that. Where the money has got to be made is we are continuing to downsize, not downsize but reduce our cost of doing business as a company. We are becoming more and more efficient. Some of the things that we shared with you three months ago was the investment in some technical equipment to improve the efficiency and drive the cost down. We have been very successful in that. That equipment is in – is either install or in the process of being installed. It was a timing issue that I wanted to be ready. Within the next few weeks all that will be in place.  What we are trying to do now is obviously be as cost-effective, but more importantly to me right now is maintaining market share on what we built this company on and subsequently driving with this new technology into new markets, expanding into a worldwide market. All of those things that you are fully aware of have been implemented, are in the process are just weeks away from a full marketing strategy. The interesting story will be coming out in the next six months or so as far as how effective all of this work will be to the company. But nobody is more driven than my management staff to keep this company on the strong side of the balance sheet and start to work on the profitability, get our company back into a profit direction for our shareholders. Obviously, that’s our number one goal.
Rick D'Auteuil – Columbia Management: The – probably the headwinds or I am sorry tailwinds with lower community cost and lower transportation costs are starting to reverse. What are you seeing on that front, raw materials costs and freight costs?
Bob Ready: Right now we are okay. It’s pretty flat. We haven’t seen any increases at all that concern to us. But we are certainly on top of it as you are. We are watching this very critically. Our purchasing group is standing on top of our major vendors and obviously doing everything we can. Forecasting becomes the really challenge based on how we can drive the volume. But with that said, some of the things that we are doing we are hoping and using 7-Eleven as a great example, when you are talking about the LED process obviously the – with a program of that magnitude it certainly helps us across the board. The key to that is to build off of that and start developing more business with other customers to continue on with that (inaudible). LSI is very, very volume oriented based on driving that bottom line. We’ve done a great job of reducing cost. The balance sheet shows that as a continuation of our not drawing from that. We are generating our cash. I will give a tremendous applause to our credit group. Our DSOs last month were down to 48 days in an economy like this.
Ron Stowell: 46 rather.
Bob Ready: 46, excuse me, 46 days. Everybody has got a focus in this company right now to drive and improve those margins and it’s not just from the sales side, it’s obviously generated from the inside going out. So, those are all targets that are part of the LSI strategy. Our new iZone Center has been a Grand Slam home run. We are getting people in here almost daily, getting them a stronger education, showing them the advantage of the LSI products over our competitors. It’s really now maximizing on what we’ve done to create a stronger profit contribution. It is challenged because the market is still very soft. But from a material increase I can tell you right now that that’s going through our mind to initiate some kind of an increase to get ahead of it, but we have to be concerned about whether it will hold or not. So, we are right in that kind of a timeframe to analyze that to see what makes the most and the best sense to initiate that direction.
Rick D'Auteuil – Columbia Management: I guess this is probably for David but the QSR menu business with the healthcare bill it’s passed has some nutritional requirements for menu boards going forward. I would think digital is one of the ways to deal with that. Are your customers being proactive or it’s too early and they are going to wait six months before they look more actively at the – in front of the deadlines that are put out there.
David McCauley: They have certainly been moved to the right of center now because before they were not being proactive. They just thought wait till this gets forced on us. Well it’s at that stage now. There is a timeline, they’ve already identified if you have 20 restaurants throughout the country. This is not a state situation like New York. It’s Federal legislation and they see no end to that and the – it’s kind of I will call it (inaudible) across the table is back that force the technology to take place. And as you know like in all the LCD screens cost have been dropping and it’s like I said the perfect storm lining up to be a winner for us.
Rick D'Auteuil – Columbia Management: How many people are positioned well for that space and I know you guys have had some wins in that space with prior technology, so how do you think you are positioned against the competition.
David McCauley: Well I think we are positioned well. In fact a lot of the competition has disappeared or has had to merge during this poor economy and they’ve left with very few resources if you look at their financial conditions. We are in great financial shape. Our technology is very good and it’s proven in the – I don’t want to reveal how many sites that we have out there. In fact we have a significant amount at a lot of different locations, a lot of different vendors.
Bob Ready: I’d like to add something to that, Rick. You know our company very, very well and during this very trying time my direction has been to move LSI into a stronger competitive direction for the future. And with our strong balance sheet we’ve made a number of changes in investing in a number of different production processes. So – and the objective was when this thing does finally open up it’s going to be (inaudible) in the door in my opinion and I wanted LSI to be in a position to take advantage of whatever would come. And what that really means is at the end of the day with what we’ve done, we can take on any competitor, we can be competitive as anybody has to be out there and as a volume driven company we are in a much better position, believe it or not, to take on more volume than we actually were before all of this economy went south on us. So it’s been my objective to strengthen the business when the economics are down as an economic condition and we’ve done that for 34 years and we went to work in the last few months to strengthen this company with the anticipation that this can't go on for ever. Certainly the results have not been acceptable, but it is what it is and it’s always been my direction to continue to build this company for long term and we’ve done just that.
Rick D'Auteuil – Columbia Management: Okay, thank you.
Bob Ready: Thanks, Rick.
Operator: Thank you. And our final question in the queue comes from Jim Stone. Go ahead, Jim.
Jim Stone – PSK Advisors: Good afternoon there folks.
Bob Ready: Hi, Jim, how are you?
Jim Stone – PSK Advisors: You didn’t think you’d get away from me, did you?
Bob Ready: Oh, yes, we knew you were going to be there.
Jim Stone – PSK Advisors: I wonder if you can give us some color on the various initiatives you’ve started, the under counter lighting, the bridge lighting, the street lighting, what’s happening? Which do you think will really be important to you going forward?
Bob Ready: All of the above. I will let Scott handle that one.
Scott Ready: Hi, Jim.
Jim Stone – PSK Advisors: Yes, hi Scott.
Scott Ready: We certainly got involved in a lot of different varieties of projects early on as part of the technology development phase of I’d say of this program. Our important markets are going to be the same markets that they’ve always been and in those markets that offer us the opportunity to translate that technology platform into a volume opportunity, a volume production mode. We are still doing business with all of those product lines that you’ve mentioned when we go through them on a case-by-case basis, the display lighting; we are still expanding our product line there. We are adding customers to that experience on a monthly basis. We – well there is only so many bridges in this country and that’s obviously going to be an area that has high visibility, but not necessarily a lot of high volume opportunity.  Street lighting remains in a prototype phase through most of the country. There really haven’t been any significant commitments on street lightening yet with the exception of a couple of cities in the northwest. And most of the manufacturers including LSI that have built technology platforms that compete for that market place are in test and we expect that to continue for a little while anyway. And of course we go back to our core markets, the petroleum marketplace, the outdoor marketplace. That is where a lot of that early work that we did and those product lines that you mentioned have contributed to the successful technology that now contributes to real meaningful revenue opportunity and profit opportunity. So, let’s they are all important–
Bob Ready: Let me add to that too, Jim, is the fact of the matter is that the U.S. market has been a test bed for some of these new products, which I believe eventually are going to offer opportunity in the European or the Middle East or the international market. And the LSI reputation based on that niche market has obviously been very important but it was time for us to expand the market opportunity, get more experience working in those specific markets like street lighting. Certainly the under counter lighting, as you pointed out, it was a market opportunity. We weren’t necessarily in it because it was created by fluorescent lighting, but with our technology in an emerging LED market it was an obviously opportunity to step into that market.  From that we’ve learned a lot and we are going to expand that on a worldwide basis. And that may be two, three year marketing direction before this company gets into that recognition area. But you have to start where, somewhere, you have to start at some point. And you have to set your goals and we’ve done that and some of them are going to be winners, some of them may not be. But we can't build a company just developing product for a market that we built this company on. We’ve got to protect that market and then we have to expand on that. And since we focused on a worldwide market, we’ve taken that kind of an approach, getting the certification for the street lights, and for parking lot lighting on an international level as well as canopy lighting, as well as other types of lighting are very, very important for a long term market approach for a company like us that have to do those things if we are going to grow this company and build this company to the size that it’s capable of doing.
Jim Stone – PSK Advisors: And can you share with us any numbers in terms of new industries that you’ve penetrated say on the canopy type of lighting, I mean what can you share with us that has some numerical background to it?
Bob Ready: Well, as you know, we don’t get into numbers as it relates to any market. I think that I can share with you the fact that if you remember how this all started, we started developing platforms. We selected the oil industry because of our tremendous market knowledge. And it was obviously not only a market opportunity but it was a test bed opportunity. The 7-Eleven afforded us a great and a much quicker entry into that. And from that we’ve learnt so much and the ability. And I will tell you what; the technology of this stuff is incredible. As I said to my – our folks here, and I say it everyday, we no longer build lighting fixtures. We build lighting computers. The effectiveness of weather and climate and humidity and water have a tremendous effect on the viability of these products. And the process of building them is so incredibly different than traditional. And I think we all in this industry are learning this technology in a new way and that’s where this company and I am sure others out there will be expanding their market opportunities.  Obviously, every company that’s in business today has certain market strengths. We have certain market strengths in the automotive, in the fast food, in the petrol, even others that you are all aware of. But we cannot continue as a company who has grown through this to just focus on that. We’ve got to expand that. We are doing that. We’ve got to test ourselves. We’ll go through a learning curve my market. All these things are going to be new. But hell over the last 34 years that’s all I’ve done is taken this company one step at a time finding new markets to expand to and creating products that really work for that customer base. And that mission is not going to change and what we are going to do with the continuation of investing in better people we are going to look at more opportunities and push our company, push our R&D harder than we have before because we’ve learned so much. So the next go around is going to be better, it’s going to be more efficient, it’s going to be more cost-effective because of what we learned in prior years. Though – that is always what LSI has done and we are going to continue to do that.
Ron Stowell: Jim, this is Ron. The numerical based inputs related to your question was for the nine month period fully 25% of our – of LSI sales have been related to the LED products or installation thereof, with a little less than that in our third quarter, but 25%. And that’s – in last year it would have been a fraction of that.
Bob Ready: You know, just to take a couple of minutes to expand on the bridge lighting and some of the other unique things that Scott mentioned and you guys are aware of, these are in test beds for us. We’ve learned a lot. As Scott said, there might not be a lot of bridges out there, but hell we’ve learned a lot about vibration, we’ve learned a lot about the climate controls and so forth that go on and the maintenance factors and from that you build other products that give you hopefully more advantages as you move into these new markets. There is a basic market out there. We are in the Commercial/Industrial.  We are certainly in the niche markets. And all of those markets have opportunities. And it’s now up to us to selectively pick what the next major step will be and then work toward that objective. And we’ve created the basis to do that and certainly the platform to do it with our operations and our balance sheet and now the investment in our technology and as a combined effort. And as you’ve all heard, in the last three months, I am not focused on acquisitions.  My focus right now is to take this core that we’ve invested heavily in and build on it. The disadvantage to that is the economy fell short of where we were going. We’ve got to get through this financial disaster from an economy. I think we’ve shown we can do that. And now we are into a new era and we are going to build on that. And the results will probably be a year or two years out based on the effectiveness of the decisions that we are doing. But I can tell you right now we are not backing off. We are going to push and push this company as hard as we can to penetrate these new markets and start building higher volume. That’s what we need to do and that’s what we are going to do.
Jim Stone – PSK Advisors: Okay, thank you.
Bob Ready: Thank you, Jim.
Operator: And there are no further questions in the queue.
Bob Ready: I am sorry, no further – thanks guys for hanging in there with us today. It’s going to be an interesting summer to say the least. This platform with 7-Eleven is certainly an exciting one for us, but we are looking beyond that now, we are looking for the next one, if there is one out there. Shawn’s goal is to get our C&I business on a strong footing. Certainly with the conditions that have existed, the commercial part of our business I think is going to be slow to return. If we see signs of the economy returning, I can tell you right now from the construction side that’s always going to lag, that’s history, and what we have to do now is find other opportunities and that’s other markets.  We’ve got to go after a stronger market share on a competitive level and we are going to do a lot of – taking a lot of direction toward that international market. I think it’s out there. How big it is yet I don’t know, but I think our products can more than handle themselves in that environment, and the investments that we’ve made in the production side I think are going to start to show results as our volume goes up. This year and a half of this economic has been a great educator for our company and the folks that are on board. Hopefully it won't repeat itself after we get through it, so I always look for best out of the worst and I can tell you right now that from my perspective, as a major shareholder and as the CEO of this company I have high hopes for the future of this company as long as we execute what we say we are going to do. And that’s up to the group of folks here that are part of this team and I think they know their mission and I think they know it well. Now it’s a matter of making it happen. So, with that, I want to thank you for your time and look forward – if you have any questions beyond that, give us a call, we are always available to answer them. And, last but not least, if you are in the general area, come see us. We’d love to show you some of the new technology, show you our new marketing center, all the good things we’ve been working on over these tough months, and how we hope to put those to work. So, we would love to have you come by and say hello. With that, Matt, I think that concludes it. Thank you.
Operator: Thank you everyone for joining today’s call, now concluded. You may disconnect your lines.